Vesa Sahivirta: Good morning, everyone, and welcome to Elisa's Second Quarter 2025 Conference Call and Analyst Meeting. We have a very familiar team here again. I'm Vesa Sahivirta, Head of Investor Relations. And we have here also CEO, Topi Manner; and CFO, Jari Kinnunen. We follow normal practice in this event. Before we start, I would like to say on behalf of our whole team to our Group Treasurer, Juha Kervinen, thank you for your incredible work at Elisa. Juha will retire now after the summer holidays. And Juha has also working with IR since the company was listed. So Juha have even more interim reports behind him that I have, and that's pretty much. So thank you, Juha, and it has been a pleasure and privilege working with you. So -- but now we are going to the agenda of the day, and we start with the presentation, and I give a word to Topi, please. Go ahead.
Topi Manner: Thank you, Vesa, and good day, everybody. Welcome to this Elisa Q2 earnings call. And first of all, I would just like to echo what Vesa said about Juha and your contribution to the company over the years. I mean there will be many speeches coming your way soon, but thank you for all of your work during the many, many years. So when we look at our Q2, I think a good quarter for us in many ways. Strong EBITDA development fully in line with our midterm targets being above 4%. New mobile offering introduced to the market and being well received by our customers. And then when we look at our cash flow, the cash flow development was strong. Actually, it was an all-time high quarter in terms of cash flow for us. Looking into the highlights of the quarter, the revenue increased by 2%, very much driven by International Software Services and the increase in mobile service revenue. When analyzing the revenue development, it is worthwhile to note that the equipment sales decreased EUR 12 million in comparison to same quarter last year. And here, in the comparison quarter last year, we had a onetime deal of EUR 7 million in Estonia. The mobile service revenue increased 3.4%, and it is good to see that in terms of the growth rate of MSR, we are now back on an improving trend following the new offering that we introduced to the market in May. International Software Services revenue increased with 70%, supported by the bolt-on acquisitions. If we look at the organic growth piece of that, that organic growth amounted to 9.6% to be exact. So very much in line with our ambitions of achieving 10% or more organic growth for the year on a quarterly basis. Comparable EBITDA, as stated, was up 4.3%. Comparable cash flow grew with the mentioned plus 20%. In terms of net adds, the post-paid subscriptions increased by 43,000 approximately. And this was basically on the back of improving net add trends in consumer business and also customer wins in corporate business, for example, in public sector. The competitive intensity has been relatively tight in 4G market. During the quarter, we took a step towards the right direction and the churn decreased to 17%. And I think that this is noteworthy because during the quarter, we also introduced this new offering, increasing the prices, respectively. And clearly, the churn development goes to show that the offering introduction to the market has been successful and the value provided by the offering has been well received by customers. On fixed broadband side, the subscriptions increased with 4,400. So the number of subscriptions, both on mobile side on fixed side are on an improving trend. Then looking into the numbers a little bit more deeply, the revenue landed at EUR 552 million, as mentioned. EBITDA was EUR 198 million. If we compare the EBITDA percentage to the comparison quarter last year, we took a step up in the EBITDA percentage. EBITDA is pretty much driven by the mobile services, also the International Software Services, cybersecurity services. And then we start to see an increase in revenue coming from fiber business. And clearly, the efficiency improvements, the continuous improvement in terms of efficiency is contributing positively to the EBITDA and to the operating leverage. In terms of MSR development, I think that the most important development is really that we are back on an improving trend with respect to MSR on the back of the offering changes that we introduced on the market. And when we look forward, I think that the offering changes will be offering clear support to the MSR development going into the second half of the year and then further into '26. So our expectation for the full calendar year in terms of MSR is that we will be we will be seeing mid-single-digit growth. So we reiterate that guidance. ARPU improved during the quarter and as stated, churn decreased to 17.1%. The market with respect to 5G is competitive. But as stated, customers are also tuned to the value that we are creating with the 5G+ offering. In 5G+, we see that customers are more satisfied with the 5G+ subscriptions that they are with the sort of traditional 5G subscriptions and then also the security features are clearly valuable to customers. In the 4G space, we see some tight competition still out there in the marketplace. When we look at our business segment by segment, I think Consumer business is fully robust at this point of time. Revenue plus 2.4%, EBITDA plus 3.6%. In Corporate Customers, the revenue decreased a bit. But here, we need to adjust for the EUR 7 million onetime deal in Estonia during the comparison quarter. Having said that, it is clear that the macro environment is creating some challenges to the Corporate business. Customers have delayed their decision-making related to IT services and cyber, also in fixed services, in equipment sales, the macro situation is somewhat visible. At the same time, we do see improving trends in Corporate segment towards the end of the year, not that much driven by macro, but driven by micro developments, namely us winning new customers during the course of the spring. And clearly, those customer wins are showcases of our competitiveness. In this challenging market related to IT services and cyber related to corporate networks, we are clearly competitive. We are winning market share. We are winning new customers. And once we get those new customers and their services fully transferred to us, we will see support in revenue, and we will be seeing support in profitability toward the end of the year in Corporate segment. International Software Services revenue increased with 71%, supported by acquisitions. And as stated, the comparable growth, the organic growth amounted to 10%. EBITDA still slightly negative for the quarter. But here, we will need to remember that typically Q2 in software business is the weakest quarter. So when we look at the full year in terms of International Software Services, we do expect double-digit organic growth for that business, and we do expect that business to be in positive territory in terms of full year EBITDA. Back in March, we communicated our new strategy, updated strategy in the Capital Markets Day in London. And as stated in terms of EBITDA, we are now fully in line with the midterm targets, going for faster profitable growth. The 4 growth areas of our strategy being 5G and fiber, home services, corporate IT and cyber and International Software Services. And in all of these, we have -- we have been making steady progress during the quarter. So when we look into the mobile business and the fiber business, as stated, the clear success for the quarter was the new mobile offering. And the whole upsell to 5G continues intact as shown on the orange trend line on the right-hand side of the page. What is also worthwhile to note is that while the new security features and embedding those to our mobile offering will be offering support to mobile service revenue development during the remainder of this year and during the next year, we also do see the next chapter of mobile service revenue growth coming with 5.5G development, as we communicated in our Capital Markets Day presentations. And to create that competitive advantage in terms of our network capabilities, in terms of our commercial capabilities, we have now signed a deal with Nokia to extend our 5.5G network during the coming period in Finland and in Estonia. In Estonia, also, it is worthwhile to note that our 5G network with Nokia equipment has now been rated the fastest on the market, and that certainly is already visible in our customer satisfaction numbers. During the quarter, an intriguing development was related to Moontalk. Moontalk AIRI was launched. And Moontalk AIRI is effectively an AI agent, an app that enables customers to make summaries of their calls, list the action points out of the calls. And with APIs, those action points are possible to be transported to the CRM systems of customers, improving the quality, for example, of sales personnel and improving the productivity of sales personnel. And these kinds of solutions are examples of what we could use to leverage in other parts of our customer base going forward with AI type solutions. And with that, strengthen our offering and provide more value for larger parts of our customer base. We also enjoy good momentum in fiber business. Clearly, strong revenue growth there, accelerated network construction and also a new offering for multi-dwelling units, improving our competitiveness. So when we look at the rest of our growth areas in terms of strategy, in home services, during the quarter, we launched new Elisa Kotiturva, new home security solutions in collaboration with Avarn Security, a Finnish provider of security services. And now as per our strategy, we have been launching the home energy solutions, home battery to the market, home security solution and we will start gradually to penetrate the market with these solutions, providing good value for our customers. In corporate and IT and cyber, as mentioned, several large customer wins typically with some AI-enhanced service angle in those competitive biddings. And for example, our digital workplace solutions are quite competitive in the marketplace at this point of time. During the course of this year, the number of workstations that we are managing with our AI-enhanced service will increase by 40%. So clearly an indication of the value that, that service brings to our customers. Strong growth, strong demand for our cybersecurity services continues. In ISS, as stated, we do expect double-digit organic growth for the full year. And especially in the telco vertical, that being a stable, somewhat defensive sector, we are making good strides and have now signed several sizable multiyear contracts with our customers. Of course, this part of the business is not immune to the global geopolitical uncertainties and to the tariff-related uncertainties. And we see some impact of that in the form of slower decision-making with customers in certain verticals of that business. For example, in the semicon vertical of our Industriq business. Then one of the highlights for the quarter really was that the Time Magazine once again, together with Statista listed The Most Sustainable Companies in the World. And this was now the second time around. Last year, we were #66 in the world, and now we improved our position and ranking to #55. So good progress in that one and definitely great to get this kind of an acknowledgment. We also were selected to the Financial Times list of Best Employers in Europe. So important acknowledgment related to our employee brand and well-being of employees in the company. And this brings me to the end of the presentation. So we are reiterating our outlook and guidance for the full year. So revenue, we expect to stay on the same level or slightly higher and EBITDA likewise at same level or slightly higher than in '24. CapEx will be max 12% of revenue, and we are heading towards that number for the full year. So I think that, that completes my presentation of Q2. And now I will hand over to Jari. Thank you.
Jari Kinnunen: Yes. Thank you. And I will start continuing and echoing Vesko and Topi, thanking -- big thanks for Juha for excellent years and high contribution to the company over the years. And I think the whole team really appreciates and appreciate your professional work, but also appreciate you as a very valued colleague. And definitely, you will be missed after you retire, but all the best for that when that time comes. Now second quarter continued the good development after Q1, especially EBITDA growth more than 4%, so in line with the medium- term targets as well. But let's first look at the revenue change, EUR 11 million, increased 2% compared to last year. There was negative impact from equipment sales, EUR 12 million, and that includes this EUR 7 million onetime deal in comparison year. International Software Services, strong growth, EUR 16 million. Acquisition first consolidation impact is approximately EUR 3 million, comparable organic growth at 9.6%. Domestic digital services growth was EUR 1 million, Corporate IT services growing in fixed services, inside that, minus EUR 2 million, there are different trends. Voice -- traditional voice continuing to decline also corporate network services were declining compared to previous year. However, fixed broadband services are growing, very much driven by fiber. Mobile service revenue growth trend improved from Q1 from 2.6% to 3.4% and in euros, EUR 9 million increase. Total service revenue growth altogether was at 5%. And that, together with continuing cost efficiency and productivity improvement measures led to EBITDA 4.3% growth to EUR 198 million. Also, margin improved 0.7 percentage points to 35.8%. In EBIT, growth was somewhat lower than EBITDA impacted by depreciation increased EUR 5 million compared to last year, the same change was also in Q1. Now going to second half of the year, depreciation change -- year-on-year depreciation change will be less negative. So there will be improvement in that change for that line. EBIT margin was 22.5%. Financial expenses net, including also share of associated company profits change was negative EUR 2.9 million. Now this comparison includes comparison year, temporary good share of associated company profit and therefore, year-on-year negative change, EUR 1.8 million, which, again, going to the second half is something that is not going to repeat. So net interest expense change in Q2 was approximately EUR 1 million. Then moving to Estonia. In revenue, already a couple of times mentioned, onetime deal in comparison year impacted to revenue, excluding this EUR 7 million, revenue increase was 2%. Mobile service revenue was developing and continuing to -- developing positively and continue to grow and together with MSR growth and cost efficiency measures, EBITDA increased 4%. In subscription base in Estonia positive post-paid increased 3,800, pre-paid was negative 4,100. Churn reduced from previous quarter to 8.6%. CapEx in Q2 was the reported CapEx, EUR 89 million. Guided CapEx, excluding licenses, lease agreements and acquisitions, EUR 76 million. So that is EUR 5 million lower than a year ago. All in all, guidance for the full year, 12% from revenues is unchanged and intact. Main investments continue in mobile networks, 5G coverage increase in fixed fiber and other networks and IT investments. Q2 cash flow was strong, comparable cash flow, EUR 113 million, 20% increase against previous year. Positive contribution from higher EBITDA and lower CapEx as well as net working capital change, which was more positive than a year ago and accounts payable contributing as well as continuous improvement in inventory efficiencies. Negative change -- slight negative change in paid interest as well as paid taxes. First half comparable cash flow is EUR 196 million, EUR 16 million higher than a year ago and 9% increase against last year and higher EBITDA and net working capital change contributing negative impact from financial expenses, interest expenses and CapEx. Operating cash flow -- EBITDA operating cash flow conversion was improving from last year was 62%. Then looking at the balance sheet and capital structure. Solid capital structure continuing in line. Regarding net debt to EBITDA in line with targets, 1.9x equity ratio slightly below the medium-term target at 32.7%. Both of these impacted by the dividend in the second quarter. And going forward, net debt will reduce as well as equity ratio will increase. Return ratios continue at good level, return on equity, 30.4% and return on investments, 18.7%. The second quarter, we did a liability management transaction issued EUR 300 million 5-year bond. Order book was more than 3x subscribed, and we were able to reach good terms coupon 2.875% for the loan. As part of the transaction, we also purchased back part of EUR 300 million debt due next year, EUR 115 million out of that was purchased back. And average interest for the interest-bearing debt currently after -- also after this transaction is 2.5%. And now I will give word to Vesa, please.
Vesa Sahivirta: Thank you, Jari. Now we move on to Q&A part. Do we have a question from audience? Yes, we have. Artem, please?
Artem Beletski: Yes, Artem Beletski from SEB. Actually, 3 questions. From my side. So the first one is really relating to new offering in Consumer Mobile. And could you maybe provide some color how much of migration has been done by the end of Q2? And will it be basically completed by the year-end of this year? The second question is relating to ISS. And could you maybe provide some further color on earnings seasonality? So you mentioned that Q2 is clearly the weakest one of the year. Is it fair to assume that we will see some improvement in Q3 and Q4 is clearly the best quarter in terms of profitability? And maybe just around the business, if you could also comment on order intake and backlog situation, what you are seeing right now for this area? And the last one is actually to Jari, housekeeping question, when it comes to working capital. So you have made quite a big progress in H1. So the impact has been more than EUR 30 million positive. Is there something more structural happening or is it just some type of seasonality or quarterly seasonality what we are seeing there?
Topi Manner: Thank you, Artem. So if I start with the mobile offering question. So during the quarter, we introduced a new mobile offering, which means that we embedded mobile ID, scam site protection and data leakage monitoring to our mobile plans. And we have now introduced that to our new sales. And a big part of our new sales is going into the new offerings, including the security features. And then we have started to make back book changes. And we have carried out the back book changes to few hundreds of thousands of customers. What is noteworthy is that those offering changes for the back book came into force in cohorts during Q2. First cohort came into force in May. Second cohort came into force in June. And that means that already these will be providing quite a bit of support to MSR development in Q3 and onwards. And now we will continue to roll out the new offering cohort by cohort to all of our Consumer customers during the remainder of this year, but that will go well into the next year as well. So basically, we are looking at the rollout being conducted in the time frame of 18 months or so. And this means that the security features will be offering support to our MSR development in this time frame. And then after that comes the 5.5G. So as stated coming back to our Capital Markets Day presentation, the short and the midterm outlook for MSR development basically follows that plan that we communicated at the CMD. And then the ISS-related development, yes, Q2 typically is the weakest quarter. The profile during the year in the ISS business typically is that Q4 is the strongest. Q1 is also pretty strong typically. So there is this kind of a yearly seasonality within that business. And with that, we reiterate our expectation that we will be seeing double-digit organic revenue growth in ISS for the full calendar year, and we also expect to be in positive numbers in terms of EBITDA for the full calendar year. And then specifically to the question of the order book, the order book is quite good at this point of time. We have some visibility to the second half in terms of delivering the orders that we have already received. In terms of order intake, clearly, the telco vertical that we are serving as a stable industry is pretty much unaffected by the global uncertainties. In some of the other verticals like the semicon vertical, we see some slowness in customer decision-making on the back of the uncertainties also impacting the order intake a bit.
Jari Kinnunen: And if I continue with the net working capital, so there are -- well, some seasonalities, typically second and fourth quarter are better in terms of accounts payable -- sorry, accounts receivable, somewhat better. But we continue also improving efficiency of net working capital, especially with the inventories. We have been reducing inventory levels now some time, and there is still work to do. So there is potential also going forward.
Vesa Sahivirta: Okay. Thank you, Artem. And any other questions from the audience? No, we don't have. So please, first question from conference call lines.
Operator: [Operator Instructions] The next question comes from Andrew Lee from Goldman Sachs.
Andrew J. Lee: I had 2 questions. One on the mobile service revenue growth phasing and the more-for-more commentary that you've given so far? And then second, just on the EBITDA growth for clarification. On the mobile service revenue growth and the more-for-more price rises you've been putting through, I wonder if you could just comment on how well you think those have been going given we've seen a reduction on churn. But more specifically, I know you mentioned around the cohort by cohort adoption of the price plans. Could you give us a bit more color, please, in terms of how many customers actually went live with the higher pricing in May or June? Because what a lot of people have observed is that in the second quarter, we didn't see a rise in ARPU. So just trying to get an understanding of how much of an acceleration of mobile service revenue growth and inflection of ARPU we should be thinking about into Q3? Anything around that would be really helpful. And then just secondly, on the EBITDA growth, you mentioned on the call that your EBITDA growth this quarter is in line with your midterm guide. But I think you highlighted or commented at the Capital Markets Day that your EBITDA growth guide is an organic guide as well. And I think your EBITDA -- your organic EBITDA growth delivery this quarter was sub 4%. So I just wanted to check that we're right in thinking that EBITDA growth should be organically above 4% and how you think about that through the rest of the year?
Topi Manner: Yes. Thank you, Andrew. If I start with the latter one, just briefly, yes, the EBITDA guide from the CMD is an organic EBITDA growth target. So you are absolutely right on that one. And also applying that definition, we are in line with midterm targets in terms of EBITDA growth. So I hope that, that addresses the latter question. And then related to the mobile offering. So first of all, I think that you mentioned an important thing, and that is related to churn. So I'm actually quite happy in terms of how we have carried out the new offering and how that has been received by customers. So clearly, the value that we are providing to customers is concrete and the customers perceive that even with the price increase, they get good value. And that is clearly witnessed in the churn number. The churn number decreased to 17%, even though we do see some campaigning going on in the 4G space. So being able to conduct this kind of an offering change, a more-for-more change, as you alluded to, while decreasing churn in a situation where we have campaigning going on in the marketplace, I think that, that is a showcase of a successful offering change that clearly brings value to customers. And of course, that is a great platform and effectively a springboard to continued favorable MSR development during the second half of the year. So with this offering change, we do reiterate our view that during the full calendar year, we will be experiencing mid-single-digit mobile service revenue growth. And clearly, the confidence level has increased on that note. So far, during Q2, we rolled out the new offering to a few hundreds of thousands of customers in cohorts, first one in May, second one in June. And now we will -- we have already rolled out further customers into the offering during the course of July, and we will be going to do so cohort by cohort during the remainder of the year and going into 2026. So as stated, this is strengthening the prospect of the MSR development going forward.
Andrew J. Lee: I just 2 clarifications. One, in terms of that process of rolling out the cohorts, what exactly is the process? Our understanding is that you tell the customer that their price is going to go up and then the price goes up a month or 2 later. So just trying to understand that to understand whether the churn this quarter is a better guide to how customers are weathering the price rises versus ARPU, which is obviously not going up this quarter. And then just on that, the EBITDA question, isn't sedApta a EUR 1 million to EUR 2 million contribution to EBITDA? And so if you strip that out of your EBITDA, actually, the EBITDA growth is less than 4% and not in line with your midterm guidance? Or am I getting something wrong there?
Topi Manner: Yes. On the -- I mean, Jari, if you take the latter question related to sedApta. But on the first one, the way we are rolling out the new offering in mobile is that -- of course, we are slicing and dicing our customer base in granular fashion. We have several different types of contracts with customers related to their mobile subscriptions. Some of them are of continuous nature. Some of them are fixed-term contracts and various contracts and their terms and conditions allow for various types of price changes. So this is something that we will need to factor in our rollout schedule and to our rollout plan. And then we are moving forward with that one. So that hopefully gives you a bit of idea of how the sort of cohort-by-cohort rollout plan is being put together. Then in terms of the churn development, as stated, our first experiences with a few hundreds of thousands of customers during Q2 in terms of churn are good. And clearly, the sample size starts to be already quite significant. So that gives us confidence that customers do see and experience the value and then thereby, we enhance our competitiveness on the market when moving forward with the rollout.
Jari Kinnunen: And to EBITDA growth, so the acquisition first consolidation impacts to EBITDA are very minor. So organic EBITDA growth is about 4%.
Operator: The next question comes from Andreas Joelsson from DNB Carnegie.
Andreas Joelsson: I would like to turn to the Corporate segment and just a follow-up on your comment, Topi, on that you see you're taking market share and that profitability should improve going forward. Can you give some more color on those comments? And then secondly, on the price increases again and the value-added services that you add, is there a difference in profitability on that type of revenue, so to say, versus the rest of the mobile business?
Topi Manner: Yes. If I start with the last one, the difference in terms of profitability, the gross margin of the security features that we have been embedding to our mobile subscription plans is effectively the same than with the rest of the mobile connectivity services. So gross margin profile, the same in that respect. And then coming back to your first question related to B2B. So yes, as stated, the B2B market somewhat challenging on the back of the macro for all players on the market. We are clearly competitive. We are winning market share. We are growing faster than the market. And now during the course of last 3 months, we have been winning several large customer deals with large publicly-listed Finnish companies and with also some large public sector entities. Some of them are public references and some of them are not public references. And they typically are sort of full suite competitive biddings, including elements of corporate networks, including elements of IT services like hybrid cloud, digital workplace solutions, even some AI services, and then certainly also including cybersecurity where we are competitive. And given the magnitude of these competitive biddings and given the size of these customers, the transfer process of these services from old service provider to us typically takes several months. And that means that towards the end of the year, we will be seeing support from these customer wins to our revenue and with that, to our profitability.
Operator: The next question comes from Paul Sidney from Berenberg.
Paul Sidney: I have 2 questions, please. Firstly, on free cash flow. Clearly, free cash flow growth was extremely strong in the quarter. You've given midterm targets around EBITDA growth, CapEx to sales. You've commented on working capital already on the call. But putting it all together, what do you think is a sustainable level of free cash flow growth over the next few years for Elisa? And the second question, just coming back to mobile service revenue growth, given the rollout plan is taking place over the next 18 months, does that mean that we can do mid-single-digit growth in both '26 and '27, given the staggered pace of the rollout?
Jari Kinnunen: If I take the first one. So free cash flow. As we have in our medium-term targets, we have EBITDA growth target. We have capital allocation policies and CapEx at 12%. We have interest rate changes priced in our debt. So there is no major negative changes there. Taking all those together, so growing EBITDA, maintaining 12% CapEx, maintaining less negative changes in interest compared to last year. Outlook for growing cash flow and outlook for growing free cash flow is good.
Topi Manner: And then related to your question about the mobile service revenue development during the next couple of years. I mean, to start with, let me once again reiterate the comment that we are very happy in terms of how the new mobile offering has been received by customers, and that certainly gives confidence for MSR development going forward. We are not giving specific MSR guidance for next couple of years. So let me be clear on that. But I would phrase myself so that we -- coming back to our CMD presentation, we do see a path forward for favorable MSR development along the lines that we expect to see this year, also during the coming years. And that comes back to us rolling out the new offering with the security features during the next 18 months, cohort by cohort. And then soon enough, in 18 months or so, we would expect to see tangible support to MSR development coming from the 5.5G developments. And this is fully in line with the communication that we presented in our Capital Markets Day in London.
Paul Sidney: That's very clear. Jari, could I just push a little bit harder on the free cash flow? Just mechanically, could it be sort of high single digit, maybe even double digits? So just in terms of just mechanically working through all the moving parts?
Jari Kinnunen: Well, we do not have a specific guidance for cash flow, but what I tried to elaborate and what we also, as said in the Capital Markets Day, tried to elaborate that there is accelerated increased growth ambition, both in revenue and EBITDA. And we are maintaining the capital allocation policies, CapEx to sales. We are maintaining our acquisition policies in place. There is less negative impact to cash flow from interest rates and interest expenses change compared to what the situation was last year. So taking all that together, I'm repeating myself. So outlook is good for the cash flow. But unfortunately, we don't give any specific percentages for that. But it should be the ingredients for you to make your judgment.
Operator: The next question comes from Ulrich Rathe from Bernstein.
Ulrich Rathe: I have 2 questions, please. The first one is on the macro environment. I mean you're referring several times to the difficult macro environment. But in Finland, as [indiscernible] looked it up is the GDP is now in growth. It has exited recession 2 quarters ago. And you're still talking about very difficult macro pretty much in the same language that you used while your whole market was in recession. So I'm just wondering how do you -- what do you need in terms of the macro environment for not talking about that as a negative item in the corporate segment? My second question is on the ISS business. You have talked in the past about bolt-on acquisitions. Will there be -- or is there likely bolt-on acquisitions in the second half of this year? Or is this year essentially sort of a quieter one while you're adjusting the relatively large acquisition you made last year?
Topi Manner: Okay. So when it comes to the first question, I mean, you are right that there is some small growth in terms of GDP now taking place from one quarter to another in our home market. We do see some impact of that. I mean, some small impact of that, especially in our Consumer business. The consumer confidence in the market is still sluggish, but some sort of cautious improvement in that one. The challenges on the macro that I referred to related to B2B business are more related to the general uncertainty I mean, geopolitical uncertainties and tariff uncertainties that clearly have had the impact that some companies, especially in the cyclical industries are safeguarding their cash flow. And then that is impacting the B2B business, especially when we talk about the large and medium accounts. And then the second question was related to bolt-on. Do you want to...
Jari Kinnunen: Yes, sorry. Yes, if -- again, if comparing to previous year, so we had approximately EUR 100 million last year in acquisitions. And again, like we said in Capital Markets Day that the outlook is that this year, there will be less. And overall, bolt-on acquisitions is something what we are looking also in ISS going forward. But for this year, the expectation is a lower level compared to last year.
Operator: The next question comes from Sami Sarkamies from Danske Bank Markets.
Sami Sarkamies: I have 3 questions. The first one is on positive net adds development in Finland. You've been losing post-paid customers for the past 3 quarters. Just trying to understand what has changed. You mentioned several large corporate and public deals that you have been winning lately. Do those explain the change? Secondly, on corporate EBITDA growth, this has been discussed during the call, but just wanted to check if you still expect muted growth in the third quarter and then you're seeing growth again going into Q4 next year on the back of deals that you've been winning. And then thirdly, related to one-off costs, can you give some guidance on what the number could be for the full year? You had EUR 17 million last year, and you have had EUR 6 million now in the first half of the year.
Topi Manner: Yes. Thank you, Sami. So if I start with the question related to the net adds. So first of all, I think that it's good to note that related to consumer side of net adds, we do see improving trend. So that's one aspect. I mean, if you take last couple of years in the grand scheme of things, our market share has been stable. And we are certainly very determined to keep it so also going forward. On the B2B side, we have been winning. So -- and then when you look at the net adds during the quarter, Q2, I mean, then certainly, the customer wins in public sector, including the city of Helsinki contributed to the net adds. So generally speaking, it's good to see and improving trends. And then related to the B2B business and how are things looking for Q3 and Q4, I stated on the back of the customer wins that we have now gotten during the last couple of months, we do see some improving trends towards the end of the year. They won't materialize to any large extent in Q3. So it will be more the end of the year. And then do you want to take the last?
Jari Kinnunen: Yes. The one-off costs, indeed, so there has been approximately EUR 6 million restructuring costs first half relating to personnel reductions and compared to last year, which was for the whole year, EUR 16 million, EUR 17 million. So we are constantly looking opportunities to build and improve productivity. Time to time, it might include also reduction of employees and that happens as time -- as these developments mature. So we will continue to improve productivity that might include also employee reductions going forward.
Operator: The next question comes from Felix Henriksson from Nordea.
Felix Henriksson: I have a couple. The first is a continuation on the mobile net adds. I think in prior quarters when you were still losing net adds, you referred to consumers shifting from mobile broadband to fiber. So looking under the hood in the second quarter, did you see this trend continuing? Just a bit of color on that would be appreciated. And then secondly, we've talked a bit about -- quite a bit about the consumer mobile price hikes that you've implemented. But can you also touch on price increases that you've perhaps implemented in the B2B side of things in mobile and fixed? Because correct me if I'm wrong, you've also done some actions during the summer on that front.
Topi Manner: Yes. Thanks, Felix. So related to the last one, so indeed, also in the B2B side of the mobile business, we have been conducting some price changes, also introducing some new security features, a little bit different security features to the mobile plans on the corporate side. So those have been conducted during the Q2 and the full impact will be seen in MSR from Q3 onwards. And then related to the net adds and to the mobile broadband, yes, I think that the sort of decreasing customer base of mobile broadband customers is something that is impacting the whole market and visible in all players in the market are experiencing the same. So during the quarter, we did see some shift from mobile broadband to fiber-related connections, but not to the extent that we saw during Q1. So there's a seasonality impact in that one. And typically, during the summertime, people are more on the move. And that also means that there is a demand for mobile broadband services during the course of the summer.
Operator: There are no more questions at this time. So I hand the conference back to the speakers.
Vesa Sahivirta: Thank you. Thank you for all your questions. And before we conclude this event, so just to mention that we are starting our summer holidays now, but Juha and also Juha's successor, our new Group Treasurer, Juho Saarinen, are available this week for your questions and discussions. So maybe with those words, so we wish you a very good reporting season.
Topi Manner: Thank you very much for participating.
Jari Kinnunen: Thank you.